Operator: Good day, everyone. And welcome to Fresh Del Monte Produce's Fourth Quarter and Full Fiscal Year 2024 Earnings Conference Call. Today's conference call is being broadcast live over the Internet and is also being recorded for playback purposes. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press followed by the number one on your telephone keypad. If you would like to withdraw your question, press star one again. Thank you. For opening remarks and introductions, I would like to turn today's call over to the Vice President, Investor Relations, with Fresh Del Monte Produce, Miss Christine Cannella. Please go ahead, Miss Cannella.
Christine Cannella: Thank you, Llewellyn. Good morning, everyone. And thank you for joining our Fourth Quarter and Full Fiscal Year 2024 Conference Call. Joining me in today's discussion are Mr. Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer, and Miss Monica Vicente, Senior Vice President and Chief Financial Officer. I hope that you had a chance to review the press release that was issued earlier via Business Wire. You may also visit the company's website at investorrelations.freshdelmonte.com to access today's earnings materials and to register for future distributions. This conference call is being webcast live on our website and will be available for replay after this call. Please note that our press release and our call today include non-GAAP measures. Reconciliations of these non-GAAP financial measures are set forth in the press release and earnings presentation, which is available on our website. I would like to remind you that much of the information we will be speaking to today, including the answers we give in response to your questions, may include forward-looking statements within the Safe Harbor provisions of the federal securities laws. In today's press release and in our SEC filings, we detail risks that may cause our future results to differ materially from those forward-looking statements. Our statements are as of today, February 24, 2024, and we have no obligation to update any forward-looking statement we may make. During the call, we will provide a business update along with an overview of our Fourth Quarter and Full Fiscal Year 2024 financial results, followed by a question and answer session. With that, I will now turn today's call over to Mr. Mohammad Abu-Ghazaleh. Please go ahead.
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning, everyone. And thank you for joining us today. Let me take you through the highlights of our full year 2024 results. Our fresh and value-added product segments—pineapple, fresh-cut fruit, and avocados—performed exceptionally well in 2024, driving growth and improving company gross margins. These categories remain a core strength of our portfolio, which we believe validates the direction we have taken to focus on higher-margin products that align with market demands. Whilst total net sales were 1% lower year over year at $4.28 billion, gross profit increased by 2% to $358 million from the prior year period, and gross margins improved to 8.4% compared with 8.1% in 2023, underscoring our progress in building a more profitable and efficient business model. Furthermore, we achieved another reduction in long-term debt supported by strong cash flow and increased our quarterly dividend for the third consecutive year. Pineapples are the heart of who we are, and in 2024, we continued to solidify our position as the global leader in this category. Last year, we launched our latest innovation, the Ruby Glow pilot. As global demand for our pineapples continues to exceed supply, we remain active in expanding our production and sourcing operations. We understand how important it is to ensure consistent and uninterrupted supply to consumers globally, and for that, we have established a five-year growth strategy that we believe will support our customers globally. We believe the next few years will be a tremendous story for our pineapple segment, driven by our relentless focus on quality, innovation, and reaching more consumers around the world. Pineapples are central to our growth strategy, driving every stage of our business, from whole fresh produce to fresh-cut and value-added products, manufacturing with IQF and juice concentrates, and our newest biomass initiative, which seeks to monetize every part of the fruit and plant. We are also leveraging improvements across our fresh-cut facilities worldwide. In North America, the program is expanding, particularly in club retail and e-commerce channels, where we have partnered with one of the world's largest. In the fourth quarter, we introduced more automation into our fresh-cut facilities and other innovations that have enhanced efficiency and operational effectiveness. These investments align with our strategy to build our fresh-cut program into a key profit center, which we expect will enable us to deliver sustained growth in this category. Our avocado program, another core strength, performed well in 2024, driving growth despite industry supply chain challenges. Expanding global sourcing remains a key focus of our growth strategy. While our state-of-the-art packing operations and Max tank, we are evaluating plans to diversify our sourcing through partnerships in Colombia, Guatemala, Uganda, and Kenya. We believe that we will be able to sustain the momentum, expand our reach, and deliver greater value to customers and consumers worldwide. Our banana business remains an important focus, even though the market has become increasingly competitive over the past few years. To meet customer demand and ensure a stable supply, we have taken steps to diversify sourcing and expand supply. A key initiative is our Somalia banana project, which was announced in February 2023. Located in the heart of Somalia's historic banana belt, this project is revitalizing an industry that once thrived before the civil war of the 1990s when Somalia was the leading banana exporter to Europe and the Middle East. In Q4 2024, 350 hectares were planted, with plans to expand to 500 and 1,000 hectares by the end of 2025. We expect that this project will not only strengthen our supply chain and reduce transport times to key markets but will also position us to penetrate new banana markets. Additionally, we believe that this project plays a vital role in Somalia's economic recovery by creating jobs, stabilizing the local economy, and establishing critical infrastructure. On the regulatory front, we believe we are ahead of the curve when it comes to FSMA 204 compliance, positioning Fresh Del Monte as a leader in supply chain traceability. This rule, which requires enhanced flexibility for high-risk food, is one we have embraced early. As we are well into the implementation and integration phase with several key suppliers, we are on track to achieve full compliance in time for the January 2026 deadline. With a dedicated team and robust systems in place, we are strengthening our risk management framework and operational efficiency. We expect to be ready to continue servicing our customers and take on new ones whose current suppliers are unable to meet these requirements in time, giving us a significant competitive advantage. By leading the way in FSMA 204 compliance, we are aiming to ensure continued growth, particularly in our fresh-cut category, and reinforcing our ability to deliver value to our partners. As you can see, 2024 was a remarkable year for us, further underscored by the pivotal launch of our biomass initiative. This initiative seeks to transform residues and byproducts into innovative solutions, enhancing soil health, advancing wellness, and exploring new applications in textiles. While still in its early stages, the initiative reflects our commitment to sustainability and innovation, creating value for both our business and the environment. To drive the growth of our biomass initiatives, we recently completed hiring the core team that will lead this next chapter. We were recently honored with the SEAL Environmental Initiative Award, our fourth SEAL Award in five years. This recognition celebrates our achievement in surpassing our emissions reduction targets an impressive seven years ahead of schedule. The SEAL Business Sustainability Awards honor the most sustainable companies in the world, and this latest one reaffirms our ongoing commitment to environmental stewardship and responsible business practices. Finally, I want to express my gratitude to our team members worldwide. Their dedication and hard work made 2024 a transformative year for Fresh Del Monte. The progress we have achieved is a testament to their efforts. I would like to thank you at this time and move the call to Monica Vicente, our Chief Financial Officer, who will present the financial results.
Monica Vicente: Thank you, Mr. Abu-Ghazaleh, and good morning, and thank you for joining us on the call today. As Christine mentioned, our press release and our call today include non-GAAP measures. Reconciliations of these non-GAAP financial measures are set forth in the press release and earnings presentation, which is available on our website. For the fourth quarter of 2024, net sales were $1.013 billion compared with $1.009 billion in the prior year. The increase in net sales was driven by higher sales in our fresh and value-added segment, primarily driven by higher per unit selling prices. The increase was partially offset by a decrease in net sales in our banana segment due to lower per unit selling prices and volume. For the full year of 2024, net sales were $4.28 billion compared with $4.321 billion in the prior year. The decrease in net sales was primarily due to lower sales and per unit selling prices in our banana segment as well as the negative impact of exchange rate fluctuations, primarily the Japanese yen and Korean won. Partially offset by higher per unit selling prices and sales volume in our fresh and value-added product segments. Gross profit for the fourth quarter of 2024 was $69 million compared with $63 million in the prior year. The increase in gross profit was driven by higher net sales in our fresh and value-added product segment, partially offset by lower net sales in our banana segment, as well as higher per unit production and procurement costs. Gross margin for the fourth quarter was 6.8% compared with 6.2% in the prior year. Adjusted gross profit for the fourth quarter was $69 million compared with $56 million in the prior year. For the full year of 2024, gross profit was $358 million compared with $351 million last year. The increase in gross profit was primarily driven by higher net sales in our fresh and value-added product segment and lower ocean freight costs, partially offset by lower net sales in our banana segment, higher production and procurement costs, and the negative impact of fluctuations in exchange rates related to the Costa Rica Colon. Gross margin for the full year increased to 8.4% compared with 8.1% in the prior year. Adjusted gross profit for the full year was $359 million compared with $355 million last year. Operating income for the fourth quarter of 2024 was $30 million compared with an operating loss of $113 million last year. The notable change in operating income was due to a $134 million non-cash impairment charge in 2023, primarily relating to long-lived assets in our manpacking operations and goodwill in our prepared foods reporting unit. Adjusted operating income for the fourth quarter was $17 million compared to $12 million in the prior year. For the full year of 2024, operating income was $196 million compared with $59 million last year. The increase in operating income was primarily driven by lower asset impairment charges and higher gross profit, partially offset by higher selling, general, and administrative expenses compared to the prior year. Adjusted operating income for the year was $159 million compared with $165 million last year. The year-over-year decrease in adjusted operating income was driven by higher selling, general, and administrative expenses. Other income expense, net, for the fourth quarter of 2024 was a loss of $3 million compared with a gain of $4 million last year. The change was primarily due to foreign exchange losses in 2024 compared with foreign exchange gains last year. Other expense net for the full year of 2024 was $8 million compared with $19 million in 2023. The decrease in expense was mainly driven by gains from unconsolidated minority equity investments. FDP net income for the fourth quarter of 2024 was $20 million compared with FDP net loss of $106 million last year. Adjusted FDP net income for the fourth quarter was $12 million, which is at par with the fourth quarter of 2023. For the full year of 2024, FDP net income was $142 million compared with a net loss of $11 million last year. Adjusted FDP net income for the year was $116 million compared with $102 million the prior year. Our diluted EPS in the fourth quarter of 2024 was $0.42 per share compared with a loss of $2.22 per share in the prior year. Adjusted diluted EPS was $0.26 per share compared with $0.25 per share last year. For the full year of 2024, diluted EPS was $2.96 per share, compared with a loss of $0.24 per share in the prior year period. Adjusted diluted EPS was $2.42 per share, compared with $2.12 last year. Adjusted EBITDA for the fourth quarter of 2024 was $35 million or 4% of net sales, in line with the prior year. For the full year of 2024, adjusted EBITDA was $236 million or 6% of sales, also in line with the prior year. I'll now go more into detail on the full year performance for each of our segments, beginning with our fresh and value-added product segment. Net sales for the full year of 2024 increased to $2.607 billion compared with $2.478 billion in the prior year. The increase in net sales was primarily a result of higher per unit selling prices and sales volume in our avocado and pineapple product lines due to stronger demand, as well as higher sales volume in our Mylan product line. The increase was partially offset by lower net sales in our best vegetable and fresh-cut fruit product lines due to lower sales volume and the unfavorable impact of fluctuations in exchange rates due to a weaker Japanese yen and Korean won. This performance exceeds the net sales guidance range of 3% to 4% that was previously provided. Gross profit was $243 million compared with $167 million in the prior year. The increase in gross profit was primarily driven by higher net sales and lower per unit production costs in our pineapple, fresh-cut fruit, and fresh-cut vegetable product lines, partially offset by the negative impact of fluctuations in exchange rates due to a stronger Costa Rica Colon. Gross margin increased to 9.3% compared to 6.8% in the prior year, in line with the forecasted range of 9% to 10% for this segment that we previously shared with you. Moving to our banana segment. Net sales for the full year of 2024 decreased to $1.476 billion compared with $1.638 billion in the prior year. The decrease in net sales was primarily driven due to lower sales in North America, driven by competitive market pressures, lower sales volume in Asia due to decreased supply from the Philippines as a result of weather-related events, and the negative impact of exchange rate fluctuations, primarily due to a weaker Japanese yen and Korean won. Gross profit was $87 million compared with $163 million in the prior year. The decrease in gross profit was primarily due to lower net sales, higher per unit production and procurement costs, and the negative impact of fluctuations in exchange from a stronger Costa Rica Colon, partially offset by lower per unit ocean freight and distribution costs. As a result of these factors, gross margin decreased to 5.9% compared with 10% in the prior year. It's important to note that the full year 2023 gross margin was exceptionally strong for this segment and outside our historical range. Our full year 2024 gross margin for our banana segment of 5.9% falls in line with the forecast range of 5% to 7% that we shared with you, which is consistent with our long-term historical trends. Lastly, our full year results for other products and services segment. Net sales for the full year of 2024 were $197 million compared with $205 million in the prior year. The decrease in net sales was primarily due to the sale of a plastics subsidiary in 2023, partially offset by the higher net sales in our poultry and meat business driven by an increase in per unit selling prices. Gross profit was $28 million compared with $20 million in the prior year period. The increase in gross profit was primarily due to our poultry business, partially offset by lower net sales in our third-party ocean freight. Gross margin increased to 14.1% compared with 9.8% in the prior year. As a result, gross margin exceeded our expectations for this segment. Now moving to selected financial data for 2024. Income tax provision for the full year was $29 million compared with $18 million in the same period last year. The increase in income tax provision was primarily due to higher earnings in certain higher tax jurisdictions. Our effective tax rate for the full year was 17%, slightly below the 20% effective tax rate we had anticipated for 2024. Net cash provided by operating activities was $183 million compared with $178 million in the prior year. The increase was due to current year's working capital fluctuations, primarily a result of higher levels of accounts payable and accrued expenses compared to last year due to timing of period-end payments to suppliers. We ended the year with $144 million of long-term debt, a $156 million or 39% reduction from $400 million at the end of 2023. By lowering our debt, our adjusted leverage ratio is now less than one times EBITDA. Our full CapEx investment was $52 million compared with $58 million in the prior year. As previously announced, our board of directors declared an increase in our quarterly dividend from $0.25 to $0.30 per share per quarter, reaffirming our commitment to our shareholders. The dividend is payable on March 28, 2025, to shareholders of record on March 10, 2025. Additionally, as part of our broader capital allocation framework, our board has approved a $150 million share repurchase program. We plan to execute this program opportunistically over time, allowing us to take advantage of market dynamics while maintaining financial flexibility for our business needs. Before we turn to the outlook, I'd like to take a moment to discuss a few key challenges we have faced in the first quarter of 2025 and also give you an update on our manpacking business. As we closed out 2024, we faced a tight supply of both bananas and pineapples. Entering 2025, parts of the US experienced unprecedented weather conditions, particularly in January, which also affected the southern region of the United States and influenced the climate in Central America, with colder than normal temperatures and above-average rainy season, further reducing production volumes of both bananas and pineapples as we started the new year. While industry-wide production remains tight, we are just beginning to see improvements in volume across our sourcing regions. In addition to these weather-related challenges, earlier this month, the current administration announced potential international tariffs on imports from key trade partners, including markets with which we actively trade. While none of these have taken effect yet, the risk remains that they could be implemented or expanded at any time, adding to global trade volatility. Given the nature of our products, sourcing from alternative sources may take time. As Mr. Abu-Ghazaleh mentioned, we are expanding our global sourcing footprint and have a growth strategy for avocados, bananas, and pineapples. While these efforts position us well for the future, we remain cautiously optimistic and are prepared to adapt as necessary in response to any tariff developments. Now I would like to update you on manpacking operations. Last quarter, we shared with you our decision to consolidate three facilities into one, discontinue several product lines, and sell certain assets of Fresh Leaf Farms, a wholly-owned subsidiary of manpacking. The sale closed in November 2024 for $18 million. We remain optimistic about the future of this operation and look forward to seeing the positive changes reflected in our financials as the year progresses. Let's turn to our outlook for the full year of 2025 for our business segments as well as for key financial priorities, including SG&A, capital expenditures, and cash flows. Our guidance that I will share reflects our baseline expectations and does not incorporate potential risks or adjustments that could arise from changes in tariffs or significant shifts in the economic environment. We project net sales for the year to be 2% higher than the prior year from higher sales of avocado, pineapple, fresh-cut fruit, and bananas, partially offset by lower net sales in our fresh-cut vegetable and vegetable product lines resulting from the rationalization of the manpacking operations. As far as gross margin by segment, in our fresh and value-added segment, gross margin is expected to be in the range of 10% to 11%, driven by higher per unit selling prices as well as the impact of manpacking consolidation to one facility. In our banana segment, gross margin is expected to be in the historical range of 5% to 7%. For our other products and services segment, gross margin is expected to be between 12% and 14%, supported by an increase in rates for our third-party ocean freight services. Turning to other key financial metrics. For the full year of 2025, our selling, general, and administrative expenses are expected to be in the range of $205 million to $210 million, primarily due to increased employee-related costs as we invest in human capital to support our growth plans. Our projected capital expenditures for the full fiscal year of 2025 are expected to be in the range of $80 million to $90 million. The funds will primarily be allocated towards the expansion of our pineapple growing and packing operation, banana farm renovations, efficiency and cost-saving projects, as well as facility upgrades. For the full fiscal year 2025, we anticipate delivering net cash provided by operating activities in the range of $190 million to $200 million. This concludes our financial review. We can now turn the call over to Q&A. Louella?
Operator: Again, if you would like to ask a question, press star one on your telephone keypad. Right. Your first question comes from the line of Mitch Pinheiro with Citibank and Company. Please go ahead.
Mitch Pinheiro: Yeah. Good morning.
Monica Vicente: Good morning, Mitch.
Mitch Pinheiro: Thanks for some of the detailed guidance for next year. Very helpful, especially in businesses that can be as volatile as yours. So thank you for that. I guess I wanted to start with just, you know, you talk about your core focus, pineapples, fresh-cut fruit, avocados. And I was wondering if you could provide a little bit further color. So with pineapples, you know, you're increasing supply, like, as fast as you can. Are you constrained even more because of the weather operation? Does that push up prices? I mean, can you get a gross margin on the pineapples, you know, in line with last year? Same with fresh-cut fruit. You know, are we going to see a steady improvement in your fixed cost leverage? Or will there be some seasonality? And then finally, in the avocado business, you know, you've seen some pretty good improvement there, and I was wondering, you know, I guess if there were tariffs in Mexico, you know, imports, do you expect demand to see, you know, is there inelastic demand there, or do you think it would have a meaningful impact on your business?
Mohammad Abu-Ghazaleh: Thank you, Mitch. Listen, as far as pineapple is concerned, yes. We are expanding our plantation in Costa Rica. This is as we speak. And we have already started as well replanting our fields in Brazil. You know, we used to plant pineapple in Brazil about, I would say, twenty years ago. And for a certain disease, we were hit and we stopped planting then. During these years, we have worked very diligently to create a new variety that would be resistant to this disease. And we have patented, you know, this is the first time that we just disclosed this. These new varieties that we have developed, which comes from the gold variety. It's not something new, but we have created a variety that is resistant to the fusarium disease in Brazil, which will be the only one in the world actually that is resistant to fusarium. And we have patented this and we started actually as we speak. Created a tissue culture operation in Brazil, and we are now accelerating, you know, the seedlings to start planting commercially. Hopefully, within the next years, we will have kind of, you know, meaningful production there. So the market will be producing in four continents, the only company in the world that will be producing fresh pineapple in four continents: Central America, you know, in South America as well as Brazil, Kenya, and the Philippines. And that's when we talk about, you know, expanding our sourcing capabilities. And that's only one of the, we are working on other as well sourcing opportunities, but these are the major ones that we have. As far as avocado is concerned, you know, we are just one out of several importers, you know, and exporters out of Mexico, and we just have to wait and see what will be the outcome about the tariffs and if they really take effect on avocado. Avocado might be excluded or maybe farm products. We don't know. But if it does and if there are any tariffs, unfortunately, this will have to be kind of passed to the buyers, you know, because this is something that we cannot control. And we will see how this will really impact demand in the market. But it's maybe premature to assume anything at this stage, so we don't want to speculate on that.
Monica Vicente: And on the pineapple pricing, we are confident that our pricing on pineapple will be just as strong or stronger than last year. So, yeah, the pineapple pricing should be very strong. And so we feel confident with that.
Mitch Pinheiro: And then you also, Mohammad, you talked about avocado being, you know, expanding your global sourcing as a core strategy. But, you know, some of the other areas outside of Mexico and California, the quality isn't really what is expected probably in the North American markets. Would that be, is the expanded sourcing for other export markets, or is it more of a food service kind of strategy?
Mohammad Abu-Ghazaleh: Actually, I mean, it was a perception that the Mexican avocado, the California avocado are the best kind of quality, you know, but I do believe that and I'm sure that the ones coming from Chile or Peru or Colombia are just as good and equal to the quality of Mexico sources. So we're, you know, we're working on diversifying some of these countries, including the Dominican Republic. But of course, volume-wise, nothing can compensate for the Mexico, let's say, source. So we need to do the best that we can to really try to deemphasize or the dependence 100% on Mexico as a source of supply. This would take time. It's not going to happen overnight. But that's our target. That's our objective.
Mitch Pinheiro: Okay. And then just another question on bananas. I understand. Obviously, it's not your growth focus, but is there, you know, so if you have production, you know, growing in Somalia, is you're growing, you know, I don't know what you Brazil, you might be growing some bananas maybe in addition to the pineapple. I'm not sure. But is that, does that take pressure off of, like, the Costa Rica operations in terms of bananas? Like, in focus, Costa Rica, with bananas and not chase demand? Or can you talk a little bit about maybe your strategy there?
Mohammad Abu-Ghazaleh: Listen. Banana is the banana, and the banana business has been going through, like, the same kind of momentum for the last, I would say, twenty-plus years. And what we are not trying to rationalize our business in, you know, in terms of when it comes to bananas. Because it's a low-margin business. And it was large volumes. And it definitely is a core part of our business, and we are not going to underscore or neglect the banana business. However, what you just said is correct. We are producing bananas in Brazil, and actually, we have been expanding our acreage in Brazil recently, you know, to supply the local market, which has been very kind of rewarding as well as the European market. So that would be geared towards European market destination. Somalia will become, in my opinion, a very, very important source of supply for our Middle Eastern as well as some Southern Europe countries. And this will be once it is in full gear, you know, and maturity, which probably would take another couple of years. The proximity of the source to the markets is very close. It's not like, you know, I mean, in the Middle East, it's probably going to be two to three days from source to market. Unlike what we are doing right now, about forty days if we are lucky to get the fruit from Central America or Ecuador to the Middle East. The same thing would be for Europe, would be probably around eight, nine days to go from Somalia to, let's say, Italy or Greece. Unlike, you know, today, it could be from eighteen to thirty days depending on the ship and the conditions, the water conditions. So there are a lot of opportunities there. It's not going to happen tomorrow. But I can see it, you know, in the proximity of, let's say, between eighteen to twenty-four months, this will become a very important source of supply to us. And it definitely will change the picture in terms of volume as well as in terms of gross margins as well.
Mitch Pinheiro: Alright. Well, thank you for the answers.
Monica Vicente: Thank you, Mitch.
Operator: Again, if you would like to ask a question, press star one on your telephone keypad. Seeing that we do not have any more questions at this time, I will now turn the call back over to Mr. Mohammad Abu-Ghazaleh for closing remarks. Please go ahead, sir.
Mohammad Abu-Ghazaleh: I would like to thank everyone today for joining us on this call, and I hope that I will update you on whatever happens, you know, in the next few months on our next call. Thank you, and have a good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.